Operator: Thank you for standing by. This is the conference operator. Welcome to the MiX Telematics Fiscal First Quarter 2022 Earnings Results Conference Call. As a reminder, all are in listen mode, and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to John Granara, Chief Financial Officer. Please go ahead.
John Granara: Thank you, and good morning, everyone. We appreciate you joining us to review MiX Telematics earnings results for the first quarter of fiscal year 2022, which ended on June 30, 2021.  Today, we will be discussing the results announced in our press release issued a few hours ago. I'm John Granara, MiX's Chief Financial Officer, and I'm joined by Stefan Joselowitz, or as many of you know him, Joss. He is President and Chief Executive Officer of MiX Telematics. During today's call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For a discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, including our current report on Form 8-K that was filed today, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There's a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. And with that, I will turn the call over to Joss.
Stefan Joselowitz: Thanks, John, and thanks to all of you for joining the call today. MiX began fiscal 2022 with improved financial and operational results that were ahead of expectations on both the top and bottom line. The highlight for the quarter was our return to year-over-year revenue growth and sequential expansion of our subscriber base. While conditions remain challenging in certain markets due to the continuing impact of the COVID-19 pandemic, we are now confident that the worst is behind us. Returning to growth is our primary focus in fiscal 2022 and based on our first quarter performance and outlook for the remainder of the year we feel good about our ability to achieve this objective. We are increasingly confident that we can steadily return to our long-term financial targets of 15% to 20% constant currency subscription revenue growth and adjusted EBITDA margins of 30%-plus in a normalized economic environment. How quickly we'll be able to do so remains hard to gauge given the continued uncertainty in the market. I will begin by quickly summarizing our financial and operational results for the first quarter. We returned to positive subscriber growth, adding close to 9,000 subscribers to end the quarter with a total base of 753,000. Subscription revenue was $31.1 million, a 3.5% increase year-over-year in constant currency. Notably, our annual recurring revenue ended the quarter at $125.6 million, up 2.5% sequentially. Adjusted EBITDA was $8.3 million at a 23.8% margin, which was well ahead of our expectations and reflects better than expected revenue performance and good cost discipline across the business. As we've noted in recent quarters, we have a healthy and growing pipeline of enterprise opportunities which continued the same trajectory in the first quarter. We signed several large and important wins across different verticals and geographies and these successes reinforce our positive outlook as economic conditions continue to improve. I'd like to provide some more color on these new contracts secured during the quarter. We signed 2 sizable wins in the United States with utility companies that were close to $1 million in ARR. Firstly, Qualtek, a provider of technical labor and program management to the renewables, recovery and telco industry signed a deal for more than 2,000 subscribers. This was a highly competitive process where our technology set us apart from other vendors. And secondly, Avangrid Renewables, which is a U.S. subsidiary of Iberdrola, a global energy pioneer with whom we signed a global deal in the prior quarter. We were able to leverage our initial success with Iberdrola in Spain to secure a significant contract for 3,000 additional vehicles with Avangrid in the U.S. These wins are great examples of the opportunity in the utility vertical, which has become an attractive market for us. This vertical has many of the attributes where we have historically been successful; firstly, a large fleet market that has significant operational complexity; and secondly, customer interest in driving greater operational efficiency and employee safety by leveraging the growing amount of real-time data from their fleets. We also signed 3 substantial contracts in South Africa with City Logistics, MSI Van Rep and MaxMind, who are all industry leaders in their respective markets. City Logistics a leading logistics provider operating throughout Southern Africa signed a long-term strategic partnership with MiX to support the 1,800 mobile assets. Our decades long experience and proven solutions for improving efficiency and driver safety were the key factors in this one. Looking at our business performance by solution category, we reached an important milestone in the quarter as gross churn across premium fleet, light fleet and asset tracking, all returned to pre-pandemic levels. In particular, we have seen a notable reduction in premium fleet contraction. Our light fleet business performed well in the quarter. The fastest growing of our portfolio before the onset of COVID, light fleet to see consistent improvements in recent quarters. Gross ADS in this market are now back to pre-COVID levels and we have a strong pipeline for the remainder of the year. Premium fleet saw continued improvement during the quarter and is now within 10% to 15% of its pre-COVID levels. Gross ADS have seen continued improvement, but remained below trend given the ongoing pressure in certain geographies. As mentioned, we saw a significant reduction in gross churn during the quarter, primarily due to the reset we've experienced in the oil and gas sector in recent quarters. Our energy customers are now operating in a more predictable and stable environment. We are now largely through the contraction cycle with these clients and have started positive discussions about new investments as they position themselves for the next growth cycle. It's too soon to know when this sector will once again become a tailwind to growth, but it's becoming clearer that fleets will begin to expand and we know we are in a great position to benefit when investments accelerate. Overall, we're increasingly optimistic about the outlook for our premium fleet business and the recent trends in this vertical, but it's premature to have a good read on the continued pace of improvement given current market volatility. Our asset tracking business continues to feel the most acute impact from COVID in terms of subscriber trends. Gross ADS still remain well below pre-pandemic levels as lock down travel restrictions still impact rental fleets. The biggest driver of this is our South African business, which has been through multiple lock downs related to COVID-19 and is our largest asset tracking market. As a reminder, asset tracking is our lowest ARPU business at $5 per month. So, weakness in this market will typically have a bigger impact on subscriber trends and a relatively smaller impact to revenue growth. Turning to profitability, we continued to do a good job effectively delivering strong adjusted EBITDA margins, while continuing to invest in our growth initiatives. Our balanced investment approach and consistent operational discipline has served MiX well throughout multiple cycles. Adjusted EBITDA margin of 23.8% was better than expected in the quarter and was driven primarily by the revenue outperformance. From an investment perspective, we made good progress on our sales and marketing initiatives. We are adding a high quality talent to the team, expanding our indirect channel and increasing investments in demand generation. As I've noted, we believe the business environment is improving and we will invest to make sure we are best positioned to maximize on this opportunity. Based on our first quarter performance and outlook for the remainder of the year, we are tracking well against the financial targets we set out on our last earnings call. To wrap up, MiX performed well but in the first quarter. We have returned to growth and we are realizing the benefits of the investments in our customer relationships, products and go-to-market efforts in recent quarters. We are increasingly confident in our ability to generate faster growth and expanding margins over time as we execute on our strategy and benefit from an improved economic outlook. I would like to take this opportunity to thank our teams around the world who work tirelessly to make our customers successful.  I would now like to turn the call over to John to review our financial results in more detail. John?
John Granara: Thanks, Joss. I'd like to reiterate our excitement on returning to subscriber and subscription revenue growth in the quarter. I'd now like to turn to our financial results for Q1. Please keep in mind that all figures refer to the first quarter of 2022 in all comparisons for the year-over-year changes, unless I say otherwise. As a reminder, the majority of our revenues are derived from currencies other than the U.S. dollar. The South African rand strengthened by 21% against the U.S. dollar compared to the first quarter of fiscal year 2021, contributing to a 17% increase in our reported revenues. Starting with the P&L, total revenue came in at $34.9 million, and subscription revenues were $31.1 million, an increase of 9.6% and 3.5% on a constant currency basis, respectively. The year-over-year increase in subscription revenue was primarily due to the increase in ARPU, which was attributable to the change in the mix of our subscriber base in the pandemic discounts and pricing concessions provided in the prior year. We ended the quarter with over 753,000 subscribers, a sequential increase of 8,800. The growth in subscribers this quarter was primarily driven by net growth in our light fleet and premium fleet solution categories. The shift, which has been ongoing for several quarters, ultimately strengthens our subscriber base and positively impact our ARPU as I noted above.ARR, which we believe will be a more meaningful indicator of our growth this fiscal year was $125.6 million at the end of the first quarter, growing 2.5% sequentially on a constant currency basis. I would note that our ARR does not reflect the new enterprise wins Joss spoke of earlier and will be included in ARR once they are all fully deployed later this year. The total contract value for those wins were over $6.4 million. Hardware and other revenue of $3.8 million were up 134.8% year-over-year. Hardware and other revenue represented 11% of total revenue compared to 6%. Prior year hardware and other revenue was impacted by the pandemic. As a reminder, hardware and other revenue can be volatile quarter-to-quarter. Moving on to gross margin and operating expenses, gross margin was 65.5% compared to 68.8% in the year ago period due to the higher percentage of hardware and other revenues. As we've discussed before, we would expect our blended gross margin to be in the 64% to 66% range when hardware and other revenue are at normal levels. Subscription margin remained strong at 70.6% compared to 71.6%. Operating expenses before restructuring and stock-based compensation were $18.2 million and were up 20%. The year-over-year increase primarily reflects the significant strengthening of the rand, which represents the majority of our cost base and the planned incremental growth investments. Adjusted EBITDA was $8.3 million or 23.8% of revenue compared to $7.5 million or 27.1%. Non-GAAP net income for the quarter was $2.9 million, up from $1.8 million. The company's effective tax rate was 14.4% compared to 3.7%. Ignoring the impact of foreign exchange gains and losses, the tax rate was 31.8% compared to 30.2%.Turning to the balance sheet, we ended the quarter with $46.1 million of cash and cash equivalents compared to $45.5 million as of March 31, 2021. In the first quarter, we generated $4.7 million in net cash from operating activities and invested $4.4 million in capital expenditures, leading to a free cash flow of $0.4 million. The use of cash includes investments in in-vehicle devices of $2.9 million. One thing I would note is that in the quarter, we invested approximately $1.7 million to purchase some long lead time parts as part of our strategy to build inventory of some strategic hardware components. This investment secures components we will need in the coming quarters and as part of our approach to navigate the current complexities of the global supply chain. Our strong balance sheet enabled us to once again declare a quarterly dividend of ZAR0.04 per ordinary share. Before I wrap up, I would like to provide some additional perspective on our expectations for the remainder of fiscal 2022. As Joss mentioned, the return to subscriber and constant currency revenue growth in the first quarter was an important milestone for the company. While there continues to be a significant amount of uncertainty in parts of the market and the impact of the delta variance is difficult to forecast, we are confident that the worst impact of COVID is now behind us. As it relates to Q2, we faced a more challenging compare than we did in Q1 and we would expect minimal year-over-year growth. This is due to the fact that the concessions and discounts I mentioned earlier were concentrated primarily in the first quarter last year and began to return as revenue in Q2.We expect to see further improvement in constant currency subscription revenue growth from Q1 levels in the second half of fiscal 2022 into the mid to high single-digit range. ARR trends were also encouraging in the first quarter and we remain confident in our ability to generate low double-digit ARR growth by the end of fiscal 2022 on a constant currency basis. In terms of profitability, we are on track to deliver another strong year with adjusted EBITDA margins in the low to mid-20s. Our margins this year reflects some impact from normalization of certain expenses that were curtailed last year due to COVID-19 as well as the incremental growth investments we are making across the business. The durability of our margins over the past 18 months has been an important demonstration of the scalability of our business model and the prudent discipline the company has in its pending. As we move into fiscal year 2023 and beyond, we would expect to see adjusted EBITDA margins to begin expanding again as we move back towards our long-term 30%-plus target. In closing, we've successfully navigated the business through exceptionally challenging circumstances over the past 18 months, and we are in a great position to build upon Q1 success in the coming quarters. Now, I would like to open the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Matt Pfau of William Blair.
Matt Pfau: Good to see the subscriber base start to expand again. On the fleet contractions, Joss, just was wondering, have you started to see any customers that contracted their fleet start to come back and expand those fleets?
Stefan Joselowitz: We've certainly starting to have some conversations, positive conversations with customers, I'm referring specifically to the energy sector. So we're certainly seeing a much more bullish sentiment from those customers. The feedback we are getting is that they are viewing that industry is at the beginning of a multiyear growth cycle. And what we do know is that there's always a lag from -- we know from previous cycles that we've been through with them that there's often a lag between the industry turning around and the investments that they make. But I will make it clear that we are expecting a tailwind at some point. But for this fiscal year, we haven't baked one. So we're ideally positioned to benefit when they start reinvesting.
Matt Pfau: And just from a geographic perspective and some of the geographies you operate in, they've certainly opened up more and perhaps become more normalized while others have gone backwards a bit from a COVID perspective. Maybe it would be helpful if you could just give some details if that's had any impact on the customer conversations in those various geographies.
Stefan Joselowitz: As you've summarized that it is a mixed bag and the best we can do is play the hand that we dealt. So we've done that. And I think that was reflected in our results. Certainly, some geographies performed better than others. What we're extremely pleased about is -- and you've heard from some of the deals that we've announced that, I've been referring in earlier calls that we've been seeing our pipeline steadily building and we're delighted to now see that some of the big deals are starting to pop out at the bottom of the front in the form of contracted deals. So that's pretty exciting. And that's not related to a particular geography, even in some of the geographies that have been harder hit by COVID. In South Africa as an example, we've announced some significant deals in the quarter that we're reporting on. So, overall, we're pleased with that.
Matt Pfau: And last one for me just on the light fleet segment. So you mentioned that you've seen consistent improvement there. Is that more macro driven or are you starting to sort of hit your stride in figuring out how to properly address that segment from a sales perspective?
Stefan Joselowitz: I think it's probably the latter. We're certainly continue to see improvements in our digital lead generation in the quality of those leads and in the close rates. So we're pleased with the trend. We're -- we still not yet at the pace that we intend to get to, but we definitely made some step change improvements and we're happy with that.
Operator: Our next question comes from Mike Walkley of Canaccord Genuity.
Mike Walkley: I guess, John, maybe you can help us just the linearity of the quarter for the sub-additions. It's great to see the return to growth. And do you expect subs to grow again in the September quarter? And just to clarify on the energy vertical, are you seeing it stabilize in terms of -- we're no longer losing subs or are they still kind of activating some subs or is that vertical starting to maybe return to growth so slowly?
John Granara: So the first part of your question in terms of the quarter and the cadence, we did see a subsequent improvement as the quarter went on. So, June, our net growth was higher than we saw in April. And we actually saw from a activity perspective, when we look at our customer usage and fleet usage, we did actually see sequential improvement. So, that was in line with what we saw in terms of the net growth as we exited the quarter at a higher rate. As Joss alluded to earlier, we are expecting this to be a growth here. We are expecting to continue the growth. What remains difficult, Mike, is the pace at which and the amount which is we will grow. So it's uncertain as to how much or whether or not the growth would be significantly higher or lower than this quarter, but we are, in fact, planning to grow. So I can't say that with certainty. But I did caution in my prepared remarks that, because we do have a tough compare prior year Q2 will be a tougher compare than we had in Q1 we are not expecting the year-over-year subscription revenue growth on a constant currency basis to be significant. And so from that perspective, still planning to grow, but the year-over-year compare will be a difficult one, so minimal growth. With regards to the oil and gas subscriber activity, we have seen that stabilize. In fact, we've seen somewhat of a steady improvement over the last quarter or so. However, I would say that they're still much lower than where they were in terms of the pre-pandemic levels. Higher than last year, but last year their activity was quite lower. The one thing I should mention, I do want to mention because we do talk a lot about the energy sector, and we should because it's one of our top verticals. But with regards to the other verticals, transportation, logistics, construction, utilities, consumer goods, retail, field services, all of those are back or above pre-COVID levels. So we are able to -- we have a good balanced portfolio. And so I did want to mention that from that perspective.
Mike Walkley: And maybe just a follow-up question for Joss. Just given the asset tracking business in South Africa the low ARPU, is the unrest in South Africa also impacting this business in the near-term or maybe you can just discuss kind of what's going on in the asset tracking business, the competitive dynamics in that business, maybe it returns to see better growth for you?
Stefan Joselowitz: It is early days. We did observe some unrest affecting in this month. It was dealt with relatively quickly. It's probably worth mentioning that the situation was triggered by a positive event, a very clear demonstration by our government that it's serious about tamping down on production. They've also exercised remarkable restraint in dealing with unrest and bringing it under control. So we're, just from an observation perspective, pleased about that. It did clearly disrupt the country for pretty much a week. And things have settled kind of back to normal now. We were extremely busy over that period. So whilst we as an organization weren't directly impacted by any of the writing, many of our customers that are significant transport operators and logistic operators in the country were. So we have a heightened demand for our services. And I've mentioned this before, there is a contra-cyclical element to our business services that this event has triggered at number of conversations with customers that recognize the valuable services that we provided during the event and we're having conversations, in fact, about expanding services. So, we might even see a bit of a tailwind over the medium term. But the short answer to your question is that the impact on the economy is probably too early to tell at the moment. We'll have to see that impacts over the coming months.
Mike Walkley: And just last question for me, it sounds like you've been able to use your strong balance sheet to secure components. Do you feel like with all the supply constraints out there that you have enough telematics devices to support your growth initiatives for the remainder of the year or have you seen some bottlenecks in still getting components?
Stefan Joselowitz: Based on where we are today, Mike, we do believe that the purchases that we made this quarter will get us through the rest of this year. But I should mention that it is a very fluid situation. And obviously, we're monitoring the situation very closely. So, as of today we think we are covered through the rest of the year. But we will, if necessary, make strategic purchases in the future if we feel that we have to.
Operator: Our next question comes from Brian Peterson of Raymond James.
Brian Peterson: Congrats on the strong results. So, Joss, I wanted to follow-up on something that you just mentioned in terms of the diversity of the end markets. Could you talk about the pipeline and maybe what you're seeing in terms of some of those markets like -- are we seeing healthy demand there or sales levels there? And I'd also be curious what you're seeing in terms of the pricing environment from some of your premium fleet deals.
Stefan Joselowitz: We're very pleased about the diversity in our pipeline and we're seeing in -- that diversity in our deal flow. So in the major significant deals that we've contracted in the recent period, some of which we announced it's a nice diverse bunch of customers. So, it's in the logistics transportation field, energy field or utility field and public transport [Technical Difficulty] I'm not sure whether everybody was getting that feedback. And did you get the full trust of my response to that?
Brian Peterson: I did, Joss. I don't think that was on my end. I hope not. But Joss maybe just a follow-up question. Look, if I'm reading that the tone right, it sounds like things are definitely better from an overall macro perspective. I know we're still in somewhat of an uncertain environment. But any update on an M&A efforts or just thoughts on really making increasing the size of that in some markets, just given where we are here. Just curious to get your thoughts on that, Joss.
Stefan Joselowitz: In the pandemic year that we reported, I guess, a quarter ago, the full year, we made it clear that our focus then was on cash conservation and shoring up our balance sheet and making sure we could get to what we knew was going to be an extremely difficult period as strong as we possibly could and I think that was the right strategy, and we did do well in terms of preserving cash, in fact, we almost tripled our cash balance between the start of the year, the end of the year. So we ended in a pretty strong position. Our focus now is clearly very different. We are investing in growth, in organic growth and that I think you're starting to see the -- it starting to bear fruit on some of those investments. We've also clearly in a phase that we would love to bulk up the business. We have a pipeline of M&A opportunities that we're looking at. And some of them are certainly of an interesting size for us and the potential fit looks good. So we have been keeping our color right now to see if we -- if the appropriate bulk up opportunity comes along that we can execute. And there's nothing that's clear and present as we're speaking, but we're certainly looking at things and we're keeping both eyes opened in that regard.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Joss for any closing remarks.
Stefan Joselowitz: Thank you, Ariel, and thank you all for joining the call today. We will be attending the Canaccord Conference week after next, I think it is, and we look forward to speaking to some of you then. In the meantime, please all stay safe and look forward to getting to you soon.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.